Operator: Good day ladies and gentlemen and welcome to the first quarter 2009 earnings conference call. (Operator Instructions) I would now like to introduce your host for today’s conference, Mr. Leonard Griehs, Vice President, Investor Relations; you may begin.
Leonard Griehs: Good morning everyone, welcome to Campbell Soup Company first quarter fiscal 2009 conference call. Our agenda for this morning’s call will be as follows. Douglas Conant, President, and Chief Executive Officer, will have some opening remarks. Anthony DiSilvestro, Vice President and Controller, will discuss results for the first quarter. Craig Owens, Senior Vice President and Chief Financial Officer and Chief Administrative Officer will have a few closing comments. Then a question-and-answer session will follow. Our financial results press release and supplemental schedule were issued earlier this morning. These are also posted on our website. Our call this morning will take approximately one hour. It will be available for replay approximately two hours after the call is complete through midnight December 1st. The replay number is 1-888-266-2081 or 1-703-925-2533 and use access code 1305905. You may also listen to a replay by logging onto our website, www.campbellsoupcompany.com, and clicking on the webcast banner. As a matter of policy, our conference calls are open to all interested investors and members of the media. This discussion contains certain forward-looking statements that reflect the company’s expected future business and financial performance including statements concerning the impact of marketing investments and strategies, pricing, share repurchase, new product introductions and innovation, cost-savings initiatives, quality improvements, inflation, commodity hedging, currency translation, and portfolio strategies on sales, earnings and margins. These forward-looking statements rely on a number of assumptions and estimates that could be inaccurate and which are subject to risks and uncertainties. Please refer to our most recent Form 10-K subsequent Securities and Exchange Commission filings for a list of factors that could cause the company’s actual results to vary materially from those anticipated or expressed in any forward-looking statement. This discussion includes certain non-GAAP measures as defined by SEC rules. We have provided a reconciliation of those measures to the most directly comparable measures, which is available on our investor website and at www.campbellsoupcompany.com. Now to begin, here’s Douglas Conant.
Douglas Conant : Thank you Leonard and hello everyone. Operationally we’re off to a very good start to the fiscal year. I’m particularly pleased that were able to deliver solid first quarter performance in an obviously very difficult economic climate, a climate which is the most challenging I’ve witnessed during my career in the food industry. The current crisis is impacting businesses and consumers all over the world. Despite these challenges I’m optimistic and confident in our ability to perform and let me tell you why. First and foremost Campbell’s has strong fundamentals. We compete in large and growing categories with iconic market and segment-leading brands that have strong track records of success. Importantly our brands provide both good value and comfort to consumers and all things considered, that’s a very good place to be these days. And over the past few years by shutting assets like our UK business, Godiva, and snack foods in Australia, we’ve sharpened our portfolio focused onto three categories where we believe we can compete with anyone in the world and we can win; simple meals heavily active in soup, baked snacks [inaudible] bakery and healthy beverages heavily [inaudible] in vegetable-based beverages. The second reason I’m excited about our prospects is that I’m pleased with the performance of our US soup business the start of the year. We had very strong top line performance in the quarter, most notably in our condensed soup, broth businesses both of which had double-digit gains. Our [inaudible] in US soup were once again setting the standard and leaving he industry. Our produced [inaudible] continue to [inaudible] and the introduction to Campbell Select Harvest and Campbell’s V8 ready-to-serve soup have also been very successful. And our marketing investments to support these new products are paying off especially with our strong advertising campaign for Select Harvest. In addition we’ve coupled the high impact marketing for Select Harvest and V8 with a campaign to remind people of the many reasons Campbell’s condensed soups offer great value and great taste. This message is especially relevant today as people are paying greater and greater attention to [inaudible]. Third beyond our US soup business other parts of our portfolio performed well to start the year including our sauces businesses with Prego and Pace, Pepperidge Farm and Arnott’s. In Europe our branded soup performance was also quite solid. Fourth, we continue to be bullish about the emerging markets of Russia and China. These markets continue to represent a tremendous untapped opportunity for our company over the long-term. Remember Russia and China represent approximately 50% of our global soup consumption and we are actively preparing to expand our businesses in both markets in fiscal 2009. The final reason for my optimism has to do with the Campbell people. In my opinion we have built a world-class organization over the past eight years particularly in the categories and geographies in which we compete. And to be clear we are built to more then just compete, we are built to win. I’m confident that when the dust settles from this current market chaos this team will have expanded our leadership profile on virtually all fronts. Now fiscal 2009 clearly does have its challenges. The global economic crisis will provide a strong headwind for the food industry and consumer alike. Despite the conditions, Campbell’s is a company with strong fundamentals, a sharpened focus, iconic brands that people know and trust, strong leadership, and a consistent track record for innovation. Clearly all of these qualities are evident in our first quarter results. Now before I turn the call over to Anthony to take you through the details, I’d like to mention that today marks the first investor call for our new Chief Financial Officer and Chief Administrative Officer, Craig Owens. You’ll be hearing from Craig later this morning. I am absolutely confident that as you get to know him you will recognize what a great addition he is to our senior leadership team. Now I’ll turn the call over to Anthony for his comments.
Anthony DiSilvestro : Good morning, before I begin my review I’d like to make a few comments regarding the basis of presentation of our results and items impacting comparability. As a reminder in March, 2008 we completed the divestiture of the Godiva business. The results of this business are reported as discontinued operations on the income statement for fiscal 2008. In April we announced a series of initiatives to improve our operational efficiency and long-term profitability including selling certain salty snack food brands and assets in Australia, closing certain production facilities in Canada and Australia, and streamlining our management structure. During the first quarter of fiscal 2009, we recognized $7 million of accelerated depreciation and other exit costs related to this program in cost of products sold. During fiscal 2008 we recognized $182 million of costs related to this program including restructuring charges and accelerated depreciation. The company expects to [inaudible] an additional $41 million of pre-tax costs related to these initiatives bringing the total to $230 million. As part of our business operations we are exposed to market hedges from changes in commodity prices. We entered into commodity hedging transactions to reduce the volatility from fluctuations in prices of commodities. In the first quarter of fiscal 2009 we recognized in cost of products sold a $26 million unrealized loss on the fair value of open commodity futures contracts. Beginning in fiscal 2009 unrealized gains and losses on commodity hedging activities are excluded from segment operating earnings and are recorded in unallocated corporate expenses as these open positions represent hedges of future purchases. Upon closing of the contracts the realized gain or loss is recorded in segment operating earnings which allows [us] to reflect the economic effects of the hedge without the exposure to quarterly volatility of unrealized gains and losses. The volatility associated with the unrealized gain or loss will be treated as an item impacting comparability. In prior periods unrealized gains and losses on commodity hedges were not material. Our review will begin with a discussion of results from continuing operations while highlighting items impacting comparability. From our combined total results including continuing and discontinued operations I will discuss reported net earnings per share and our adjusted net earnings per share excluding those items impacting comparability. Adjusted net earnings per share in the quarter were $0.77 compared to net earnings per share in the first quarter a year ago of $0.70. Let’s begin our review of continuing operations for the first quarter, net sales for the quarter increased 3% to $2.250 billion. The change in sales breaks down as follows. Volume and mix added 1%, price and sales allowances added 7%, increased promotional spending subtracted 2%, currency subtracted 1%, and divestitures subtracted 2%. Gross margin for the quarter for $871 million compared to $892 million in the prior year. Gross margin percentage for the quarter was 38.7% compared to 40.8% a year ago. The current year included a $26 million unrealized loss on commodity hedges and the current year also included $7 million of costs related to the initiative to improve our operational efficiency and long-term profitability. After adjusting for these items gross margin was [$904] million and the gross margin percentage was 40.2%. The decline in gross margin was primarily due to cost inflation in excess of pricing. Marketing and selling expenses increased from $296 million a year ago to $307 million due to higher advertising principally in US soups. Administrative expenses were [$140] million compared to $141 million in the prior year quarter. Research and development expenses increased $2 million to $29 million. Other income of $4 million included gains recognized on foreign currency hedging transactions. Earnings before interest and taxes were $399 million compared to $428 million in last year’s first quarter. After adjusting for the previously mentioned items EBIT was $432 million as compared to $428 million in the prior year quarter, an increase of [1%]. Net interest expense was $32 million compared to $42 million in the prior year primarily related to the general decline in short-term interest rates. The tax rate in the first quarter was 29.2% compared to 30.6% in the prior year’s quarter. Excluding the rate impacts of items impacting comparability the tax rate in the first quarter was 29.8%. Average diluted shares outstanding declined to 365 million from 388 million primarily due to repurchases utilized from net proceeds from the divestiture of the Godiva business and our strategic share repurchase programs. Earnings from continuing operations for the quarter were $260 million or $0.71 per share compared to $268 million or $0.69 per share in the year ago quarter. The current year included a $16 million or $0.04 per share [unrealized] loss on commodity hedges and the current year also included $5 million of costs or $0.01 per share related to the initiatives to improve our operational efficiency and long-term profitability. After factoring these items into the reported results adjusted earnings from continuing operations in the quarter were $281 million compared to $268 million a year ago. Adjusted earnings per share were $0.77 as compared to $0.69 in the year ago quarter. The growth in adjusted EPS benefited from a significant decline in diluted shares outstanding primarily due to repurchases utilizing net proceeds from the divestiture of Godiva and the company’s strategic share repurchase programs. Earnings from discontinued operations in the first quarter of fiscal 2008 were $2 million or $0.01 per share. Net earnings per share which includes both continuing and discontinued operations for the quarter were $0.71 per share compared to $0.70 per share a year ago. Excluding the items I previously mentioned that impact comparability adjusted net earnings per share in the first quarter were $0.77 compared to $0.70 in the year ago quarter, an increase of 10%. US soups, sauces, and beverages, sales for the first quarter rose 9% to $1.198 billion from $1.097 billion in the year ago period. Here is the breakdown for the change in sales, volume and mix added 4%, price and sales allowances added 8%, and the increased promotional spending subtracted 3%. Let’s touch on a few highlights, US soup sales increased 12% with condensed up 14%, ready-to-serve up 7%, and broths up 23%. Sales of condensed soups increased double-digits in both cooking and eating varieties driven in part by increased promotional activity. Ready-to-serve soup sales increased due to the successful introduction of Select Harvest, partially offset by a decline on Chunky. Sales of the ready-to-serve soups also benefited from the introduction of V8 soups. The convenience platform includes soups in microwavable bowls and cups increased primarily due to gains in bowls. Broth sales were driven by continued growth in aseptically-packaged broth and the introduction of Swanson cooking stock. The Wolfgang Puck soup, stock, and broth business acquired in the fourth quarter of last fiscal year contributed approximately one point to soup sales growth. Beverage sales grew slightly following the significant growth a year ago. The increase was driven by continued strong growth of V8 V-Fusion juice, partially offset by declines on V8 vegetable juice. Sales in the year ago period benefited from additional sales due the distribution agreement with the Coca-Cola Company and Coca-Cola Enterprises Inc. for Campbell’s single-serve refrigerated beverages in North America. Prego sales increased double-digits. Sales of Pace Mexican sauces also increased double-digits primarily due to the successful launch of specialty salsas. Operating earnings increased to $314 million from $309 million as higher sales and productivity gains were partially offset by cost inflation and higher advertising. Baking and snacks sales for the first quarter decreased 4% to $509 million from $502 million in the year ago quarter. The change in sales for the quarter breaks down as follows. Volume and mix subtracted 1%, price and sales allowances added 8%, increased promotional spending subtracted 2%, currency subtracted 2%, and divestiture subtracted 7%. Pepperidge Farm sales increased primarily driven by growth in both the cookies and crackers and bakery businesses. Cookies and crackers sales increased driven by gains in Goldfish snack crackers and the introduction of Baked Naturals, an adult savory cracker partially offset by a decline in cookies. Bakery sales increased due to gains in whole grain bread varieties and stuffing. As reported, Arnott’s sales declined due to the divestiture of certain salty snack food brands in May, 2008 and the unfavorable impact of currency. Excluding these items sales increased due to significant growth of savory crackers partially offset by a decline in chocolate biscuit varieties. Sales within our biscuit business in Indonesia also grew strongly. Operating earnings increased 15% to $83 million from $72 million as growth in Arnott’s and Pepperidge Farm was partially offset by the impact of currency. International soup, sauces, and beverages, sales for the quarter decreased 3% to $380 million from $390 million a year ago. The change in sales for the quarter breaks down as follows. Volume and mix subtracted 1%, prices and sales allowances added 3%, increased promotional spending subtracted 1%, currency subtracted 2%, and divestitures subtracted 2%. In Europe sales increased as gains in France and Belgium were partially offset by the divestiture of the company’s French sauce and mayonnaise business in September, 2008 and the planned exit from the private label business in Germany. Across Europe, branded wet soup sales increased. In the Asia Pacific regions sales increased primarily due to gains in Malaysia, and in Australia. In Canada, sales declined primarily due to the unfavorable impact of currency and a decline in beverages. Operating earnings decreased to $38 million from $51 million a year ago due to the incremental to establish businesses in Russia and China, a decline in Canada, and the unfavorable impact of currency. North America food services, sales for the quarter decreased 2% to $163 million from $166 million in the year ago period. The change in sales breakdown as follows. Volume and mix subtracted 6%, price and sales allowances added 6%, increased promotional spending subtracted 1%, and currency subtracted 1%. Excluding the impact of currency sales declined due to discontinuing certain unprofitable products and the weakness in the food service sector. Operating earnings decreased from $24 million to $11 million. The current year included $7 million of accelerated depreciation and other exit costs related to the previously announced restructuring program. The remaining decline is primarily due to lower volumes. Unallocated corporate expenses increased from $28 million a year ago to $47 million in the current quarter. The increase was due to a $26 million unrealized loss from commodity hedging in the current year partially offset by lower SAP implementation costs, and gains recognized on foreign currency hedging transactions. Now let’s turn to cash flows and the balance sheet, cash flow from operations for the quarter was a use of $15 million compared with [$74] million a year ago due to changes in working capital primarily accounts payable and accrued income taxes. Capital expenditures were $35 million as compared to $40 million in the year ago quarter. We expect capital expenditures in fiscal 2009 to be approximately $400 million. During the first quarter we repurchased 3 million shares at a total cost of $114 million. Total debt was $2.756 billion compared to $2.814 billion in the prior year. Cash and cash equivalents were $63 million as compared to $77 million a year ago. Net debt was [inaudible] cash and cash equivalents from total debt was $2.693 billion versus $2.737 billion, a decrease of $44 million. This concludes my discussion of the quarter, now Craig Owens will have some summary comments.
Craig Owens : Thank you Anthony and good morning everyone. While my first weeks in Campbell Soup Company have coincided with a time of extraordinary dislocations in the financial markets and a rapidly deteriorating global economy, as well as volatile currency and commodity movements. Under such unusual conditions its been actually quite encouraging to find the company performing well in the marketplace with a portfolio of businesses recently sharpened and well positioned in all key markets and to find strong financial fundamentals in place. I’m really pleased to be here and I’m enjoying the chance to meet so many talented colleagues at Campbell’s, also I look forward to meeting all of you who follow the company closely. My comments now will center around the guidance that we offered in September, we said that we expected sales excluding the negative impact of one less week in the current fiscal year and our recent divestitures to grow in excess of our long-term target of 3% to 4%. We said that we anticipated adjusted EBIT growth to be slightly below our long-term target of 5% to 6%, reflecting the impact of one less week, increased marketing spending, and increased investment spending in Russia and China. And finally that we expected adjusted net earnings per share to grow between 5% and 7% from the adjusted base of $2.09. We believe that continued solid sales performance and the management of elements of gross margin and operating expenses will deliver our planned results for sales, EBIT, and EPS in local currency. However, approximately 25% to 30% of our sales and earnings come from non-US operations. Given the strength and volatility of the US dollar against the major foreign currencies where we operate, mainly the Australian dollar, the Canadian dollar, and the Euro, its impossible to forecast the impact of these currencies on our business accurately. However if spot rates stayed at the same rate as at quarter-end, the impact of currency alone would negatively impact sales, EBIT, and EPS growth rates by approximately five percentage this fiscal year. We are making efforts to improve our performance and to build on our good sales momentum in the soup business. We will continue to focus on operational fundamentals to deliver the results that are consistent with our strong track record. With that we are ready to take some of your questions.
Operator: (Operator Instructions) Your first question comes from the line of Alexia Howard – Sanford Bernstein
Alexia Howard – Sanford Bernstein : On the outlook for margins for the rest of the fiscal year, I think on the last conference call you were talking about flat gross margin for the full year. It seems as though on an underlying basis they were down about 60 basis points this quarter, do you feel as though we’re getting towards the turning point as we get into the second half, are you seeing a bit of relief on commodity cost inflation or is it that pricing and productivity might come through a bit more strongly. How are you feeling about that.
Douglas Conant : We do still feel that we’ll be about flat for the full year. We’re not seeing much relief on inflation particularly given the commodity hedges that we have in place but as you say we would expect to see pricing come through more strongly in the second half and recognize that we’ll be cycling from last year somewhat higher inflation rates in cost of sales.
Alexia Howard – Sanford Bernstein : It looks as though the price realization overseas and the international segment wasn’t as high as in most of the other domestic areas, is that because of difficulty in Europe or Australia or might we expect to see a stronger price realization in the back half of the year?
Anthony DiSilvestro : I think the challenges have been primarily in Europe and given the competitive environment there its difficult to realize significant price although we have been more successful in Australia.
Operator: Your next question comes from the line of Christopher Growe - Stifel Nicolaus
Christopher Growe - Stifel Nicolaus: On shipments versus consumption again you had very strong US soup growth and we know [IRI] has not been as good a predictor of that recently but I wondered if you could talk about and I know you control a lot of the inventory just what you see on the inventory front and how shipments compare to consumption in the quarter.
Douglas Conant : Obviously we don’t comment on consumption but our tracking of inventory shows that there’s no material change and so we believe our sales are finding their way through to retail.
Christopher Growe - Stifel Nicolaus: In this quarter we saw that promotions had ticked up and also some of the pricing is that more of a short-term phenomenon or is that something you expect to continue?
Douglas Conant : We are committed to supporting the brand. We have a lot to say and we’re going to continue to spend against it but the spending came in as expected as did sales so we’re working on our plan.
Christopher Growe - Stifel Nicolaus: Relative to EBIT growth the adjustments that you made to your guidance seem to reflect the obvious foreign exchange hit, but food service and the international division did come in weaker then I expected and it looks like those conditions could be persisting throughout the year so are there no adjustments to your EBIT growth for the realities of those two divisions or is something going to make up for that or--?
Douglas Conant : Clearly in the current economic environment I think we’re going to see some segments of our business pressured more then others but the flip side of that is that the core business actually tends to do pretty well in a weaker economic environment so our feeling is that again, ex the currency headwind that we should be able to deliver our projected EBIT growth rate.
Operator: Your next question comes from the line of Eric Katzman - Deutsche Bank
Eric Katzman - Deutsche Bank: I’m just kind of clueless when trying to understand this quarter, the variable margin on condensed soup is so high I just don’t see how the profitability on a consolidated basis and within that segment isn’t better. You said SAP spending is down, advertising year-over-year is basically up as a percentage of sales pretty flat, what am I missing that such strong soup growth isn’t translating into profits.
Douglas Conant : There are several things going on here and you know we don’t get into specific soup P&L discussion but I’ll give you highlights. First of all marketing spending is up substantially not just modestly. As we reported its part of a whole segment but its very much focused in US soup. Second of all we are still lapping huge cost increases and our pricing is not fully reflected to capture those yet. As a result net, net we’re right where we expected to be for the first quarter and we didn’t expect to have significant soup earnings growth in this quarter.
Eric Katzman - Deutsche Bank: But you put through I guess it was 7% pricing on the top line so can you tell us on a consolidated basis how much input costs were up that that amount of pricing didn’t flow through.
Douglas Conant : Our increased cost in terms of commodities were up 9% to 10% in the quarter and the pricing is not all reflective all the way through to retail yet.
Anthony DiSilvestro : Cost inflation, if you look at packaging, raw materials, and energy is up 9% to 10%. Its having about a five point negative impact on gross margin and our productivity [inaudible] do not fully record that so obviously we have a gross margin percentage decline year-on-year which is negatively impacting our EPS growth.
Eric Katzman - Deutsche Bank: Did you say five points or 50 basis points on the inflation?
Anthony DiSilvestro : If you translate 9% to 10% inflation on a 60-point cost base, you can calculate the decline in gross margin percentage which is fairly substantial in the quarter.
Eric Katzman - Deutsche Bank: Just as a follow-up, let me understand this, so if promotional spending is up a bit in the quarter in the US soups, sauces, and beverages, and marketing and selling is basically up only slightly as a percentage of sales, where is that extra advertising or marketing that you’re talking about flowing through?
Douglas Conant : Well its in the mix of North Americas soups, sauces, and beverages and its increased in soup but not in the other parts of that portfolio so it’s a mix change within that reporting segment.
Eric Katzman - Deutsche Bank: I guess maybe when you meet with us in a week or two, maybe we could bet a better explanation because everybody on the planet knows that that US condensed business has got to be one of the highest margin businesses in the world.
Douglas Conant : Remember we said we were spending back heavily and you saw in July when we talked about all the new programs we’ve got going on, and our advertising in US soup was up substantially in the first quarter and we expect it to be up significantly for the year too. So I think that—
Anthony DiSilvestro : And we can create a [inaudible] go forward that will make this more helpful. The other piece of it as I’m reflecting on the discussion we also had a high new product launch cost in this quarter which are probably finding their way in here. But we can create a roadmap on it. This is unfolding exactly as we anticipated. So this is something we can walk you through.
Eric Katzman - Deutsche Bank: I just think that this point deserves more explanation. Your stock is down 7% today because I think people are just aren’t understanding this dynamic given how profitable soup is on a run rate normalized basis.
Operator: Your next question comes from the line of Eric Serotta - Merrill Lynch
Eric Serotta - Merrill Lynch: Did you say that pricing is not fully reflected at the shelf yet and if I heard you correctly on that why is that the case? If I remember correctly you announced this price increase toward the tail end of last soup season, it was supposed to be fully in place by the beginning of this soup season so why if I heard you correctly was that pricing not fully reflected and do you expect it to be reflected over the next few quarters?
Douglas Conant : Don’t forget we had two pricing increases, we had the one in March that you’re talking about and we also implemented one in September. That’s the one we’re talking about.
Eric Serotta - Merrill Lynch: Okay so the March increase was the 7% across US soups, sauces, and beverages?
Douglas Conant : No, it was only 4%. And then we said a similar one we had in September but that’s the one we’re talking about that’s not fully reflected yet.
Anthony DiSilvestro : The point is, the September pricing is fully implemented however we don’t have a full quarter’s worth of benefit on our results in Q1. We will in Q2.
Eric Serotta - Merrill Lynch: If you didn’t deliver the profit growth that a lot of us were expecting in the fiscal first quarter can you give us some idea as to how you expect profit growth to unfold over the remainder of the soup season. It seems given the seasonality of our business that you’d need to see a big fiscal second quarter in order to deliver meaningful profit growth for the year.
Douglas Conant : As you know, we don’t forecast profit specifically but I think broadly you ought to expect to see us continue to invest heavily against the brands in the second quarter and that in the second half of the year as we begin to cycle much higher cost of sales from prior year and pricing comes fully through that we would expect to see a stronger second half then the first half.
Eric Serotta - Merrill Lynch: And then I believe on the last call, mentioned that you’d spent about $0.05 a share for China and Russia investments last year and that could be almost double that this year, given the change global macroeconomic environment, have your plans for the overall level of spending changed?
Douglas Conant : We continue to be very excited about Russia and China. Those programs are well on track and so right at the current time we’re holding our plan for expanding in both Russia and China in fiscal 2009 timeframe.
Operator: Your next question comes from the line of Robert Moskow - Credit Suisse
Robert Moskow - Credit Suisse: I would like a bit more color on Russia, we’re hearing that retailers are pushing back very heavily on price increases. You are increasing your investment there. You’re putting manufacturing on the ground there and you’re going into more geographies, but consumers there, 10% to 15% of them aren’t even getting their paychecks now and track record says that things could get worse so I’d like to know what you’re seeing in terms of the retail environment in Russia, whether the conditions have really deteriorated and then on the second half of fiscal 2009 being better then the first half, you’re fourth quarter in fiscal 2008 had a huge increase in operating income, 40% and you had the benefit of a 53rd week, so is fourth quarter going to have another increase on top of that even though you don’t have the 53rd week this year?
Douglas Conant : As you will recall we have a very modest presence in Russia right now. We’re in the Moscow region and we’re in a limited sales profile area and the business there continues to do well from a point of distribution. We are seeing that the middle class is continuing to grow and we are seeing on this very, very small basis, that our soup brand has vitality. We intend to expand it as we [inaudible] before, we haven’t announced specific expansion plans in Russia but they will take all of the things you mentioned into account. However we are seeing in the small geography we’re in continued traction for the program so we don’t have a large exposure there nor will we for the whole fiscal year but we still believe we can expand and we can do it smartly and we’ll post you on that when its appropriate.
Anthony DiSilvestro : The back half performance operationally is expected to come from improved gross margin percentage performance in the back half relative to the first half for the reasons he suggested. We’re lapping some significant cost inflation with [brand] for fiscal 2008 and with the full benefit of our pricing initiatives, back half gross margin will be better then the first half.
Operator: Your next question comes from the line of Edgar Roesch – Soleil Securities
Edgar Roesch – Soleil Securities : I wanted to touch base with you, you indicated that you had $26 million in unrealized losses related to hedges that were, that showed up in the first quarter there. Does that suggest then that your hedging, of course its all hindsight now, but does that suggest that you would have been better off without those hedges in Q1 and then does that mean that going forward, as commodities are lower for the entire quarters, second and third quarters does that mean that that negative impact is even worse on your P&L?
Douglas Conant : Obviously virtually all of our peer companies, we were hedged through the first quarter and prices came down precipitously and we’re going through the mark-to-market exercise. We are, we’ll find our way through this year, but the hedging practices in this year are going to be challenging for us if the spot prices stay down as low as they are.
Anthony DiSilvestro : Clearly with the benefit of hindsight the decline in commodity prices, we would have been better off had we not hedged. That being said, the hedge loss in the first quarter related to purchases that are going to happen over the balance of the year. For our full year, our commodity prices will be as we expected most of which were locked in through these commodity-hedging transactions and we’ll see this unrealized loss reverse itself through the balance of the year.
Edgar Roesch – Soleil Securities : Could you remind us on what you had guided for your input cost increase for fiscal 2009?
Craig Owens : We had said about 9% to 10% and that still looks like a good number.
Douglas Conant : And that was basically the packaging and raw materials and energy.
Edgar Roesch – Soleil Securities : And then switching over to foreign currency you suggested that you’re doing some things that maybe could improve the impact there, did I read that right, and could you expand a little bit on that?
Douglas Conant : Its not our policy to hedge against translation adjustments so to the extent that we’re doing something, what we’re doing is operationally looking for everything that we can recognizing that its going to be a very tough year in foreign currency for us.
Operator: Your next question comes from the line of Christine McCracken - Cleveland Research
Christine McCracken - Cleveland Research : We’ve been hearing a lot from the retailers lately that they’re going to be pushing back now on the food companies given that the inflation that they’re seeing in the commodity markets, I’m just wondering, how do you respond to that given that you’ve taken this hedge position and may not be seeing that same kind of deflation.
Douglas Conant : First of all that dialogue is going on across the food industry with most of our peer group as well but we have a very frank and candid dialogue with our customers and they have visibility into our gross margins as you do. They see our gross margin, we’re not flying high on gross margins right now, and so that they understand that we’re not necessarily taking advantage of the consumer in this case. We’re just trying to manage our business responsibly. The other observation is that our products tend to provide great value for the consumer at the current price points and they clearly see that with condensed soup for example. We believe it is a manageable situation although we have to be very sensitive. Its not an easy time but clearly in our first quarter, our sales held up just fine despite the challenges from the customer side in terms of offering value.
Christine McCracken - Cleveland Research : Do you get the sense that any of your competition would be better advantaged, may not have gone out on commodities or packaging the same way that you may have and that might create a more competitive environment, is there any indication that that might be the case?
Douglas Conant : The general sense is that all of the major peers tend to lean out a little bit to protect their supply. But we’ll just have to wait and see. We’re very comfortable with our competitive plans. We’ll just have to wait and see.
Christine McCracken - Cleveland Research : The one area that doesn’t seem to be as well positioned maybe from a value perspective as is cookies. That’s a premium product that has obviously a very well established client base, but I’m just wondering as you look ahead in this economic environment how do you position those products given that kind of premium angle relative to some of your other products?
Douglas Conant : Pepperidge Farm cookies are certainly more challenged then condensed soup but we find we have a pretty good price value proposition. We are focused on the premium segment and we’ll have to see. We have a very somewhat narrow consumer base in cookies and we’ll see how these economics effect their purchase plans. But the good news is even if we’re a little challenged in cookies it’s a very small part of our portfolio.
Operator: Your next question comes from the line of David Driscoll - Citigroup
David Driscoll - Citigroup : On the commodity side, so we’ve heard from Heinz last week, they indicated that their spot commodity basket, again not hedged, just their spot basket for the quarter was up 15%, can you give me some understanding here on what did the spot basket of your raw materials do and so its everything, its not just these mark-to-market hedges here because I think that’s just a fraction of the overall bucket, so the question is when do you actually expect to see deflation within the raw material bucket. Obviously I think you’ve said 2009 is hedged, would 2010 be logical given spot prices today.
Douglas Conant : The answer on the high level is yes and it gets better at the end of 2009.
Anthony DiSilvestro : The basket for our first quarter is in that 9% to 10% inflation range. Looking out further I think its hard to say. I think the baking businesses will see a little bit of deflation and it’s a little harder to say on the other businesses given the broad mix of commodities and raw materials that are utilized in that business.
David Driscoll - Citigroup : On soup in condensed, can you give me an update on what you think of the competition with private label and how strong is it in this economic environment relative to your products and brands?
Douglas Conant : We feel very good about our ability to compete with private label in condensed soup. We think we still have a great value offering and there’s no evidence that private label has hurt us and hurt our growth. So we think we’ve got a great value proposition and we pay attention to it but quite frankly in this case our customers are [our] competitor and we just hope on putting the best proposition out for the consumer and so far we’re doing just fine.
David Driscoll - Citigroup : Can you make a similar comment on Pepperidge Farm?
Douglas Conant : Pepperidge Farm, evidence suggests that in periods of recession kind of environments bakery and bread do better as a category. Unfortunately it tends to be the lower price varieties and that’s where Pepperidge Farm is going to be challenged in bakery this year. We’re focusing on continuing to add value around [health] and wellness and as we reported we had decent transaction in the first quarter. We’ll see how it sorts itself out over the next three quarters. That will be a more challenging spot for us but we’re prepared to manage through it.
Operator: Your next question comes from the line of Vincent Andrews - Morgan Stanley
Vincent Andrews - Morgan Stanley: Could you just confirm, you don’t need any more pricing in F09, the September 2008 price increase you took is sufficient to cover your 9% to 10% for this year, is that correct?
Douglas Conant : We don’t comment on any possible future pricing so I can’t comment on that.
Vincent Andrews - Morgan Stanley: Just to clarify on the pricing that has yet to hit the shelf, I just want to make sure I understood your clarifying comment earlier, was that September price increases in place, the issue is more of a timing issue of having a full quarter with it rather then there are actual places where it is not in place yet, is that correct?
Douglas Conant : That’s correct.
Vincent Andrews - Morgan Stanley: On the issue that’s been out there competitively on MSG, but what effect do you think that’s having broadly on ready-to-serve soup, if anything?
Douglas Conant : Ready-to-serve soup is growing at a good clip and I don’t see it having any effect on the category. It is having an effect on consumer choices, but not on the category.
Vincent Andrews - Morgan Stanley: You don’t think its distracting demand at all?
Douglas Conant : No.
Operator: Your next question comes from the line of Judy Hong – Goldman Sachs
Judy Hong – Goldman Sachs: I just wanted to ask about the marketing spending in soup and clearly we saw significant increase in the quarter and I’m just wondering how you think about that spending and what you’re trying to get out of, is it more launch costs related to some of the new products, is it trying to be more competitive from a share perspective, or is it in this economic condition where soup really is viewed as a product providing value to consumers or trying to really attract more consumers into the category. Just wondering how I should think about the marketing spending here.
Douglas Conant : I don’t mean to be funny but the answer is (d), all of the above. We did have planned launches for Select Harvest and our V8 aseptically-packaged soups and for our Swanson broth stock and all of those launches were targeted to be launched in the first quarter and we had major spending against those launches. We also encountered an opportunity to really step forward on our condensed soup business and expand its footprint and its share of voice in these economic times and to establish some momentum for the benefits which we took advantage of as well. We also had some planned promotional spending against the anticipated pricing that we took which also raised our spending profile. So you put it all together and you have a [triffecta] effect of [monthly] spending as we launched all these things into the market at one time which is why soup sales were up 12% and why condensed were up 14%, [inaudible] sales were up 7% and broth sales were up 23%. So we spent aggressively.
Judy Hong – Goldman Sachs: On the V8 beverages, I know you have some capacity shortage in that business and sales were relatively soft, I know you’re lapping a pretty tough comparison, but how much of the softness is again the capacity issue or is it just a timing issue, as opposed to just the overall weakness that we’re seeing in the broader beverage category?
Douglas Conant : First of all we did have a capacity issue and we were on allocation for a while with our [EAP] Fusion products. We are off allocation now and that’s back on a nice growth trajectory and we are growing with [EAP] Fusion and V8 Splash. The area that was a little soft was V8 [Red] which is lapping our, the first quarter of our breakthrough distribution agreement with Coca-Cola Enterprises and Coca-Cola where we had a phenomenal first quarter on V8 [Red], we are lapping that. So it was down. But also we do see in times of again, recession type environments where our premium red juice, V8 juice, the category can soften and so we’re watching that very closely.
Operator: Your next question comes from the line of Terry Bivens – JPMorgan
Terry Bivens – JPMorgan : Just on foreign currency its steeper then I expected and here’s my question, if you look at your overseas margins, they are significantly lower then what you have in the US so can you help me understand why a 5% hit on the top line is equally damaging to EPS?
Anthony DiSilvestro : I think if you look at the currency, you have to look underneath it to some of the mix that we have within our businesses. We are over indexed to the Australian dollar and the Canadian dollar, two very profitable businesses for us and to a lesser degree the Euro. So when you look at the mix of those which is in terms of what the currencies have again, some profitability respectively of each of those businesses for us, you get into that close to 5% whether you’re looking at sales or EBIT.
Terry Bivens – JPMorgan : If you look at, clearly everyone is disappointed myself included with the level of profitability generated by those sales, as you look into the second quarter which again is another big quarter for Campbell, easy comps in condensed I would think, ready-to-serve and broth are going to be tougher, what’s your degree of confidence that as we meet early next month that there can be a better picture portrayed of your profitability on the soup business?
Douglas Conant : First of all, you know we don’t provide quarterly guidance, I guess our point would be that operationally we’re very comfortable with our plans for the year and we do have this currency headwind that we have to sort through. So I’d just comment, on a full year basis, we’re very comfortable with our guidance. I’m not going to get into the quarters. We are going to continue to spend against our business in the coming quarters particularly in the second quarter which is the big quarter for us. I would just leave it at that and say we continue to maintain our guidance and you know, I want to say, I don’t know how many I’ve done of these, its got to be my 28 earnings call and we’ve basically hit our guidance every time for a year and I think we’ll do that again this year but certainly it’s a challenging environment. One other thing, on this currency piece, we’ve benefited from currency in the past only to the tune of $0.01 or $0.02 at times, but if you look at it over the last, we deliver our operational plan and we get socked with this five point drop, we will have delivered 8% compound annual growth rate over the last four years in EPS and [inaudible] we delivered in the last three so we’re giving some of it back. But I feel very good about the fundamentals we have in place to compete in soup, sauce, beverages, North America, and international. So I’m very comfortable with the guidance.
Operator: Your next question comes from the line of Todd Duvick – Banc of America Securities
Todd Duvick – Banc of America Securities : On refinancing plans, I think last quarter you had mentioned that you would plan to term out a portion of the $1 billion of short-term debt in the debt capital markets at some point and I know the credit markets have been extremely difficult but there has been companies with as high quality credit ratings as Campbell that have been issuing debt so I just wanted to see if you could provide us an update on how you’re thinking about debt markets and potential for terming out debt here in the near-term.
Douglas Conant : We continue to have the intention to term out some of our debt. The good news is that with the strong credit rating we’ve had, we have not had any kind of liquidity problem or difficulty accessing the commercial paper market and in fact accessing it at very favorable rates as everybody has sort of run to the short end of the market. But it would still be our intention, as you know we had a $300 million bond that rolled off at the first of October. It really was not possible to go back to the market at that point in time. You’re right some people had begun to get back into the market since then but the rates have been a little bit punitive, but we’re watching the market. We don’t expect that rates will get back down to where they were a year ago. So we’re not waiting for something that’s not going to happen but we will go back to the market ultimately.
Operator: Your next question comes from the line of Andrew Lazard – Barclay’s Capital
Andrew Lazard – Barclay’s Capital : I’m hearing all of the discussion and explanation around profitability and such but I guess there’s part of me that almost feels like I ought to be viewing this fiscal year as one where after a weaker soup season last year Campbell’s getting more competitive needs to stabilize market shares, better momentum in soup, almost at the expense to some extent of profitability and obviously from your commentary I guess that’s not the way you want us to view it but perhaps you can comment on that. It almost seems like its going to be an off year from a profitability perspective but more of an on year from a spending and gaining share back perspective which I don’t know how great that is. How would you respond to that.
Douglas Conant : I think if you go back to our original guidance we talked about delivering above average sales, above normal guidance sales north of 3% or 4%. We also talked about delivering modestly softer EBIT down about, slightly below our guidance of 5% to 6% and then targeting to deliver in that historical range of 5% to 7% EPS growth. Basically we’re working that plan. Now we had some curve balls thrown at us in terms of the fluctuations with currency and commodities and we’re sorting through all that but basically we’re still working that plan.
Andrew Lazard – Barclay’s Capital : The tax rate and interest expense came in just at least lower then I had modeled, can you give us some perspective on what you’re looking for around a full year tax rate and interest at this point?
Douglas Conant : The tax rate guidance which I think was around 32% may come down very marginally. We were low this quarter because of the settlement of some outstanding audit issues so it doesn’t change the full year prospect very much and on interest, as we’ve said earlier, we’ve actually benefited from some very low commercial paper rates that we’ve had through this quarter and we had the $300 million that rolled off the long-term rates and into the commercial paper program. We’ve had some benefit in the interest line but again, I wouldn’t take that as a run rate for the full year.
Operator: Your final question comes from the line of Mitch Pinheiro - Janney Montgomery Scott
Mitch Pinheiro - Janney Montgomery Scott: What percentage of your raw material input costs are hedgable?
Douglas Conant : We’re working on that.
Mitch Pinheiro - Janney Montgomery Scott: Have you quantified the earnings per share impact that emerging market spending had this quarter?
Douglas Conant : Not for the quarter, we just said for the year. For the year it would double what it has been.
Mitch Pinheiro - Janney Montgomery Scott: So was there an earnings per share impact negative impact, in this quarter from emerging markets?
Douglas Conant : We had a $0.02 cost from emerging markets compared to $0.01 cost a year ago. And on your first question, probably around 25% of total input costs are hedgable.
Operator: Thank you for your participation in this conference.